Operator: Good day, ladies and gentlemen, and welcome to the Gogo Inc’s. Fourth Quarter and Full Year 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct the question-and-answer session and instructions will follow at that time [Operator Instructions] As a reminder, this conference is being recorded. I would like introduce your host for today's conference, Mrs. Alva, Vice President of Investor Relations and Treasurer. Ma'am, you may begin.
Varvara Alva: Thank you, and good morning, everyone. Welcome to Gogo's fourth quarter 2015 earnings conference call. Joining me today to talk about our results are Michael Small, President and CEO, and Norman Smagley, Executive Vice President and CFO. Before we get started, I would like to take this opportunity to remind you that during the course of this call, we may make Forward-Looking Statements regarding future events and future financial performance of the Company. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements on this conference call. These risk factors are described in our earnings press release and are more fully detailed under the caption Risk Factors in our annual report on Form 10-K, and other exchange act report filed with the SEC. In addition, please note that the date of this conference call is February 25, 2016. Any forward-looking statements that we make today are based on assumptions as of this date. We undertake no obligation to update these statements as a result of new information or future events. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release. This call is being broadcast on the Internet, is available on the Investor Relations section of Gogo's website at ir.gogoair.com. And the earnings press release is also available on our website. After Management's remarks, we will host the Q&A session. And now, it's my great pleasure to turn the call over to Michael.
Michael Small: Good morning, everyone, thank you, Varvara. I'm proud to announce that Gogo had a record fourth quarter, rounding out what has been a transformative 2015, we again stood face forward into the rapidly evolving market that Gogo created and emerge with validations that our investments in technology, global operations and services have produced the most advanced platform in the business. We became a $0.5 billion revenue company with strong growth in every segment, we got 2Ku flying and we introduced Gogo Biz 4G into business aviation. These are major accomplishments that set us up for a great 2016 and beyond. What we're most excited about is that after years in the making Gogo is now operating with an open architecture. This means that our airline partners will have much more control over the systems they choose and the services they offer. It means greater assurance that the decision they make today won't trap them into technology box in the future and most importantly it means we can offer our aviation partners the flexibility to lead virtually any connectivity need they will encountered today and tomorrow. I think that the proper context for a comment on last week's news about American, as you know American wants to explore its provider options for upgrading 200 of the more than 900 Gogo equipped aircraft in its fleet. The movement is surprising given the rapidly changing technology and pricing environment in our industry, we value our partnership with American. We're competing for the suites of business, we'll deliver a 2Ku upgrade proposal that gives American option to get faster, cheaper open ended technology onboard these aircrafts. We hope that when they wave a long range value of our service, they will join the other carriers that have already build a 2Ku backlog of more than 800 aircrafts. And that's really the place to start as we look ahead of 2016 and beyond. The backlog affirms the work we've been doing and the money we've been spending to produce a technology advantage for aviation that answers the demand for more capacity and speed lower prices today and greater control over connectivity for the future. Let's start with the capacity. This week we announced a deal with SCS, which is the largest aviation dedicated capacity deal ever, it means we have cheaper bandwidth and lot of it using SCS’ high throughput satellites in churn our airline partners and the passengers can expect lower cost. With respect to speed, you will be hearing about a powerful new modem in the coming weeks capable of handling 400 megabits per second for the plane that's a lot of Netflix streams with plenty of run rate for growth. Finally, Gogo has reached an exciting point in its technological development one that supports of way of doing business around opened rather than closed systems. So what does this mean? From a technology perspective 2Ku is built under redundancy of dozens of Ku satellites orbit today, we've also built it to leverage the new Ku high throughput satellites as started going up and any of the new Ku band Leo constellations coming online in the future. These satellite constellations will have tremendous advantageous in terms of latency and coverage. You can expect to hear an announcement from us from this soon. To take advantage of this we've been working for the past several years on technologies that enable us to seamlessly switch from one network to another so that our airline partners will be able to easily upgrade when the time comes. Were not gambling on a single closed system that ties us to a few satellites. Instead we are betting on an open architecture that will allow us to take advantage of whatever greater innovations the Googles, the OneWebs, SpaceXs, the SCSs, the [Indiscernible] and others will bring to the market. This open strategy yields unprecedented benefits in terms of flexibility and risk management. Now our partners diminished our technology risks by staying future ready and ahead of the curve. Open is also the approach we are taking in our products and services. This applies to the portal development to our entertainment products and our connected aircraft services. For example, our Gogo vision products is now fully customized both for our airline partners and is now generating well over a million views a month. We've also built an agile digital platform on which we can develop products that will continue to advance aviation well into the future. In some cases, our airline partners will build them and other cases Gogo will build them, we will also enable third-parties like Honeywell and GE to build them into benefit from the connected aircraft. Finally, our operational abilities are where we really shine, we have a major commitment to continuous improvement, we are operating at unparallel levels in our industry between BA and CA we have more than 11,000 connected systems flying around the world. In 2015 alone, we installed or updated more than 1,900 planes that's more aircraft than any of our ISE competitors have flying let alone install in a year. This isn’t sexy, but it's absolutely critical to what we do. We plan on filing to the both of our 2Ku backlog by 2018, 15 certification programs are underway to jump start those installations. In our Boeing and Airbus line-fit programs for 2Ku are progressing nicely, which will help us get this technology on aircraft factories in the near future. We expect to get 75 2Ku planes flying this year and will quadruple that number in 2017. The scale drives operational leverage for Gogo and adds value to our partners. Before I turn it over to Norm to go over the numbers which are really strong by the way, I want to leave you where I started with American. The recent action by American validates what they have been saying for quite some time, making the right connectivity decision matters to airlines a lot. What really matters to them as that they don’t make the wrong decision. Our air-to-ground technology is still an engineering marvel that we will keep improving. I'm extremely excited about our 4G ATG service for business aviation and the prospectus for next generation ATG, whether that's through 14G or other spectrum. But American is absolutely right. Our first generation technology which is still more than adequate for certain aircrafts is not cutting its way for some of their aircrafts. That's why we've added Ku satellite service to our portfolio and have spent the last few years developing our next generation 2Ku technology. But in my view American decisions holds an even stronger message. Simple single technology solutions are not only passé, they are risky. Speed, adaptability, access to new technologies these are the differentiators to the future and Gogo now possesses them. If connectivity technologies are not conceived and architected in a way that's opens a new technologies, they won't be good for a long. Now the connected aviation is developing into big business Moor’s Law is starring to take hold. So for a while now in addition to developing 2Ku we've been innovating with an entirely different philosophy and building equipment and technology that will take advantage of whatever we can see and discover in the future. To pioneer this industry we had to out-innovate the world, but to transform aviation we have to enable the world to innovate. We are incredibly well positioned today and in the future and given the engagement we're seeing from the world's airlines, we expect more decisions to be made in 2016 and we expect to win more than our share. With that I'll turn it over to Norm.
Norman Smagley: Thank you, Michael, and good morning, everyone. We had great fourth quarter. Total revenue was up 26% to $138 million. Service revenue grew 29% to a record $116 million. CA North America and BA finished the year strong. The combined segments were free cash flow positive in the fourth quarter and full-year 2015, combined segment profit was up 18% to $29 million or 21% margin, this led to a six fold increase in adjusted EBITDA to $8 million. As to the segment CA North America service revenue was up 22% to $83 million driven by increase in aircraft online and ARPA. Net of retirements, we ended 2015 with almost 2,400 aircrafts online with 128 in-flows in Q4. During the quarter, we installed or upgraded about 90 ATG-4 aircrafts, nearly 950 ATG-4 aircraft were online at year end. Last month, our number topped 1,000, or 40% of our connected aircraft. This is important because ATG-4 aircraft bring more capacity, improve overall customer experience and generate high ARPA. We expect to install ATG-4 in more than 400 additional aircraft this year. Net of expected retirements, we had approximately 280 awarded for net yet installed aircraft at the end of the year. ARPA grew 7% last year to 141,000 driven by 14% increase in the average per session. ARPA grew 20% when we exclude the impact of new regional jets. We expect continued ARPA growth solution in 2016 as we installed our North America backlog the vast majority of which our regional jets. Our ability to equip regional jets means Gogo can uniquely provide full-fleet solutions for North American airlines. Installation of RJs also drives revenue on the related mainline fleet because of the full-fleet effect. Gogo vision is a hit in the market that accounted for 5% of total CA North America service revenue for the year more than double the prior year. CA North America segment profit was $9.2 million for margin of 11%. Improved leverage reduced cost and service by six percentage points. This was offset by heavier investments in 2Ku certifications and next gen technology development. Now turning to BA, service revenue was up 41% to $28.5 million, driving total revenue to a record $49.6 million for the quarter. BA equipment revenue of $21 million was up 9% primarily due to higher ATG units shipped at higher pricing. ATG aircraft online increased 24% to nearly 3,500 and ATG service offer increased 15% to more than 2,400 per months. Segment profit was up 20% to $19.4 million, a margin of 39% compared to 40.5% last year. We shipped more low margin expenses and we continue to invest in next gen products and services. Turning to CA rest of world, we ended the quarter with 202 aircraft online and reported $4.2 million in revenue over the quarter, up three folds from the prior year. Our CA rest of world backlog grew to 450 awarded but not yet installed aircraft including wins from unannounced airlines. The bulk of this backlog was for 2Ku. We expect to install the majority of our awarded aircraft by 2018. We reduced the ROW segment loss to $20.2 million from $23 million last year. Improvement was due to higher revenue from more aircraft online. We also had lower STC expenses as we completed our Ku certification work for Delta and JAL last year. Turning to full-year results, Michael called 2015 a transformative year and the numbers support that view, we generated $0.5 billion in revenue. Our adjusted EBITDA tripled to $37 million. We expanded our industry leadership by bringing nearly 1,100 broadband aircraft online during the year. Also for the first time, BA service revenue broke through $100 million and exceeded equipment revenue for the full-year. Cash CapEx of $80 million was lower in 2015 and the year before and about $15 million related to airborne inventory build will carry over to 2016. With that, let me now turn to 2016 guidance starting with aircraft installs. For CA North America, we expect over 200 incremental installs. For CA rest of world, we expect over 25 aircraft as we finish our Ku installs with Delta and JAL and begin our 2Ku installs. We also expect at least 200 incremental installs in rest of world in 2017. Overall, for 2Ku, we expect to add 75 units in 2016 between North America and rest of work and at least four times that number in 2017. For financial guidance total revenue is expected to range from $575 million to $595 million reflecting year-over-year growth of 15% to 19%. This includes CA North America revenue of $350 million to $365 million, CA revenue of 190 million to 205 million and CA Rest of World revenue of $25 million to $30 million. We expect our adjusted EBITDA to range between $55 million and $65 million an increase of 50% to 77%. Finally we expect our cash CapEx to range from $110 million to $135 million, including carryover from 2015, most of which will come in the first quarter. At the midpoint of guidance our 2015 and 2016 cash CapEx will average roughly $1 million per year, with $366 million on the balance sheet we have the funding to execute our business plan and get to profitability and with our open technology strategy we don't have to spend billions of dollars in satellites. Let me now turning the call back to Michael.
Michael Small: Thanks, Norm. Before we take your questions, I would like to reemphasize how airlines benefit from our open strategy. We all know airlines make money by keeping planes in the air and taking planes out of service for upgrades is disruptive and expensive, meanwhile airplanes last for 40 years, eons by high tech standards. Satellites are delivering 250 times the bandwidth they did just six years ago and that pace will not stop. With 2Ku airlines won't have to keep upgrading antenna to deal with changes in satellite technology. 2Ku does that for them without any downtime. The point is, with an open architecture airlines aren't tied to satellite technologies, instead they take advantage of whatever new technologies come down the road. High throughput, low earth orbit, balloon even if you listen to Google. But in other way our platform will last longer and deliver a lower cost, because it is open, it is not build as some others are today for a point in time. Operator, we'll now take questions.
Operator: [Operator Instructions] Our first question comes from James Breen of William & Blair. Your line is now open.
James Breen: Great. Thanks for taking the question. Obviously, big topic was around American. I'm not sure exactly how much background you can give there, but any further color just in terms of how that process would progress from here? When you would send a proposal onto them? And then, obviously there's been a lot of talk in the market about the different types of technology. Where do you guys view 2Ku sitting relative to Ka band satellites?
Michael Small: Okay thanks Jim, a couple of things on American, they are valued customer, our launch partner and we tend to do everything possible to retain a strong and lasting relationship with them. We also do that recognizing that ultimately we'll respect American's decisions and they will make them in their own interest and they won't always necessarily go our away, on supplier diversity is in interest that they must balance with others and we've never had all their planes from day one. But we will fight for every plane, we are now very focused on providing AAA proposal for 200 aircrafts, we've already described at length on this call our proposal and we'll provide a the fastest and lowest cost solutions now and in the future based on 2Ku's open architecture and the other advantages of working with Gogo. So that's all we can say about American. And the difference between Ku and Ka, the real advantage is the amount of investment in the Ku band is dramatically larger than the amount of investment in the Ka band. It’s not a technological issues as much as where the money is flowing and when we look at our choices for satellites we see literally 100s of new satellites coming and the Ku band and we see a much scarcer offering in the Ka band. That's why we chose that and that's why we built the open architecture of our antenna. So we could take advantage of this many different investments in the Ku band as possible. That's the way we avoid these expenses nasty upgrades and no-one wants to go through that. That antenna is a technology marvel and it's the key point around which airline should be focusing as they make decisions about connectivity.
James Breen: Great. One financial question for Norm. As you guys move toward delivering more bandwidth over 2Ku, you're obviously getting that capacity from satellite partners. How does that change the capital intensity of the business as we move through 2016 and 2017?
Norman Smagley: Well, bringing the way down, cost of bandwidth becomes our cost of service rather than the capital investments to develop our network, so much more affordable for us, and given where the cost of capacity is, very, very easy for us to maintain our margins.
Michael Small: We were thrilled with the SCS deal, and when we’ve literally seen our estimates of cost of bandwidth fall by two-thirds since we initiated the 2Ku project. That is the advantage of having an open architecture, you can take advantage of the progress others make.
James Breen: Great. Thanks.
Operator: Thank you. Our next question comes from Phil Cusick of JP Morgan. Your line is now open.
Philip Cusick: Hi, guys. Thanks. A few things, if I can. First, you mentioned the backlog includes some unannounced airlines. What should we think about there?
Michael Small: That we will be announcing those airlines in the not too distant future, and that we will continue to add to the backlog in the future.
Philip Cusick: Can you tell us of the 450 or, how many of those are from unannounced airlines, or if I was smart would I be able to triangulate that from other contracts that are announced?
Michael Small: You can easily triangulate that we announced in previous quarters that we had 550 in backlog and it’s now up to over 800. So there is 250 plus that are yet on announced.
Philip Cusick: That's great. Second, with American, can you remind us of the contract terms? We've been through this since we brought the company public. Can American choose another carrier if you offer a similar product, given the contract? And who decides which product is superior? If you argue that yours is superior, can they still canceled your ATG and go over to someone else?
Michael Small: The contract states that in Americans regional judgment, they can make the choice once we submit competing proposal. So in my view, these contracts are doing what they are supposed to do. They are valuable to both parties, but ultimately in the long run, we have to deliver better solutions and I would further add that think about the triggering event of all of these is having to go through an upgrade process to get more bandwidth. That is why were arguing so strongly that the open solution of 2Ku is really important, because it reduces the prospects that you have to touch the aircraft. It let’s all the innovation happen in the sky, not on the plan and you don’t have these events, will you have to go through big upgrades.
Philip Cusick: So just to make sure I understand. Once you have concurred with American that there is a technology out there that is superior to ATG-4. It is totally up to them who they choose?
Michael Small: Yes, in their reasonable judgment, they can make the decision. Correct.
Philip Cusick: Got it. Last one, if I may. What is your thought on cash needs over the next few years, given Norm just talked about CapEx coming down and everything else you see in the pipeline?
Norman Smagley: So Phil with the cash on hand, the business plan is fully funded. Gets us to profitability, as we’ve said on several calls before. We’re always looking in the markets and to the extent there is an opportunistic debt financing available, we will take advantage of it if we think the right thing to do.
Philip Cusick: But you don’t need any cash for the current business plan?
Norman Smagley: No.
Philip Cusick: Thanks Norm.
Operator: Thank you. Our next question comes from Simon Flannery of Morgan Stanley. Your line is now open.
Simon Flannery: Great. Thank you very much. I wonder If you could just delve into the rest of the world install number of 75 planes this year. I think what you described is ramping completing the Ku bills and then starting the 2Ku. What are the kind of milestones that we are looking for here? And is that level through the year or is it -- there is a lot of Q1 and a lot in Q4, but there's a little bit of a gap in the middle? And then we see a lot about the premium business model now, and particularly on the JetBlues and Virgins of the world. How are you thinking about working with airlines, in terms of if they don't want to have a paid solution labeled by Gogo, but rather would like more flexibility about how maybe they buy bandwidth in bulk from you and then offer a free service, particularly with some of the 2Ku type solutions?
Michael Small: Thanks Simon. Two big questions, we will be ramping up most of the Ku installs essentially all of them in the first half of the year. And the bulk of the 2Ku will happen in the second half of the year. Right now, we are very active in getting the STC process going for 2Ku. Both the Virgins, Atlantic and the Aeromexico 2Ku planes, we expect to be flying commercially in the first half of the year. So first half finishing up Ku, second half really starting 2Ku. And then it's non-describe, once you got the STC’s out of the way, the production rates, the install rates go away up in 2017. The second half of your question. Yes, we’re in a whole new worlds with 2Ku and the capacity it brings. So premium models, all different models, we are exploring all of those with different airline partners that clearly under table now and we expect to actually see a lot of different a lot different approaches in the marketplace and its all enabled by more capacity. And it’s really at this stage it’s how fast can you get it on planes, the rate of install is what mattes it's no longer the technology, it’s how fasting you get it on planes.
Simon Flannery: And are those models then contemplated in your master contracts, or is that something you would have to negotiate a contract amendment?
Michael Small: That varies from partner-to-partner it's some of the legacy situations will have to make a contracts amendments to do that and then as we are putting out bids were often coming up with new models, but we will be perfectly happy to make contract modifications for the new world with our airline partners.
Simon Flannery: Thank you.
Operator: Thank you. Our next question comes from Dick Ryan of Dougherty & Company. Your line is now open.
Richard Ryan: Thank you. Michael, one more question on American. Is there a specific timeframe, once you make your proposal that they need to make a decision, or is that an open-ended valuation?
Michael Small: It's we have a as we've I think pointed out we had a 45 day window that get our proposal in which is going to be by March 20, will do a fairly in advance of that and from their it's largely and American’s choice on how fast the process moves forward.
Richard Ryan: Okay. With that kind of being a pretty public issue, has there been any collateral damage with any other customers? Has it caused any angst or questions within the customer base?
Michael Small: Minimal obviously it's a question everybody ask and which is why we were so anxious to clear up the large tow as quickly as we can and thankful that we could do that and we are in the business of making airlines happy and supporting them. And no one likes having that out there less than we did and we are thankful it's paired up now.
Richard Ryan: Okay. Switching to the meeting you had with the FCC, can you give us an update of what your thoughts or expectations may be on the next gen ATG spectrum?
Michael Small: We still have interest in the 14G spectrum and obviously went there to encourage that that option happened, but we also have to move on in life too, so we've explored lot of other options and we will have a solution to our next gen ATG in North America, it maybe the 14G or it may be alternatives and the alternatives are much more flushed out today than they were a few months ago.
Richard Ryan: Any thoughts on the timing, if they should choose to move in that direction, what we are kind of looking at?
Michael Small: I really can’t comment on that other than I would say the clock is ticking from our perspective.
Richard Ryan: Okay. FCC is getting pretty populated with service providers, Global Eagle, you guys, Panasonic now. Any concerns there with that, and can you paint a little picture of that I mean if you are able to replace some of your previous higher cost capacity with some of the anticipated lower bandwidth cost coming from the HTS. Any ability to move from those higher cost capacity?
Michael Small: I'm not like frame that in a lot of different ways. We will continually move to lower and lower cost bandwidth, I mean that's a trend in our industry that's the value of our open strategy we think that gets our airline partners down that curves with the least risk and greater speed to ever and ever lower bandwidth and to try and get there by minimizing the number of times you have to touch the aircraft and that's the constraint. It's how do you get faster and lower cost bandwidth with the minimum number of touches to the aircraft and 2Ku we think is a great platform for doing that and so that's what the business is all about.
Richard Ryan: Okay. One last one. One of the competitors came out and provided their view of fuel burn differential, flat panel versus a gimbal style for Ku antenna, suggesting the fuel burn and cost of ownership would favor the gimbal versus flat panel. Have you guys done a cost of ownership sort of comparison?
Michael Small: Yes and we got the answer for the answer it's a little intuitive to me that the lower profile one burns less than the higher profile one, where about 6.5 inches versus 12 or 13 inches. So that height difference makes everything, we estimate typical international aircrafts with about $25,000 of fuel savings per year. There is not a lot of different things but that would be a typical answer and we what is surprisingly you need to see the opposite conclusion out there.
Richard Ryan: Sorry. One last one for me. American is roughly 25% of CANA, and but it looks like pushes 40% of aircraft installed. Does the rough math suggest the ARPA for their ATG aircraft at about $80,000, $85,000 per year?
Michael Small: I won’t comment on that number but the only guidance we've given is what our total ARPA is and we've given that RJs particularly newly installed one tend to be run lower, but beyond that I can’t offer any guidance.
Richard Ryan: Okay great. Thank you.
Operator: Thank you. Our next question comes from Jonathan Schildkraut of Evercore ISI. Your line is now open.
Robert Manning: Thanks, it is Rob, for Jonathan. I was wondering, how covered is the 2Ku backlog by STCs, at what point do you have enough STC's covering the eligible fleets out there that STC's costs start to decline?
Michael Small: Excellent question, there is a major STC barrier anytime you adopt a major new technology, the biggest cost is the first time you deal with an aircraft type 737 or 787 or A350 or whatever and we're working through all the aircrafts types and then there is a smaller cost each time you have to apply that aircraft type to a specific airline. And so that is the gating item and 2Ku install is working through that. We have 15 STC certification programs underway right now. And that is why one step behind us, next year the installed rates will accelerate dramatically from what they are this year.
Robert Manning: And the costs would decline from that point, as the program gets to a certain critical mass, which is next year?
Michael Small: Yes. Correct and that's again this is the benefit of the open architecture of the particularly antenna, but all our system. So if 2Ku antenna is possibly twice spectrally efficient as any antenna in the marketplace that is a big deal, 2x is a big deal because it's antenna technology doesn't improve at Moor’s Law type of rate, it's like having an engine that’s twice as efficient as the next one. It’s a big deal and so you put that on the plane, you're going to have twice the efficiency of using any new satellite that goes up and that's important. And plus we're developing all the software and how you switch the one network to the next seamlessly it's possible. So when someone invents something new, we can incorporate it very easily. There is a lot intellectual property behind that and so what we are arguing is yes, the things like STCs, yes those big installs programs become a lot less likely a lot rare for the airlines if you go down our path and that's what really matter for them. They care about when they touch their airlines what they do with their airplanes. They don't worry about what is launched in the space and that's not their issue, but touching their plane is their issue.
Robert Manning: Got it. Thanks for taking the question.
Operator: Thank you. Our next question comes from John Hodulik of UBS. Your line is now open.
Lisa Friedman: Hi, it is Lisa for John. I have two questions. One sort of big picture, and one more segment specific. With respect to the situation with American and this competitor that's in the market and seems to be very aggressive with pricing and offers, I wondered if you could talk a bit about any concerns you have about how this may affect pricing more broadly? You told us you are getting a lot of benefit as the cost of Ku capacity comes down. But if you have a competitor that's willing to give away their service to gain market share, that obviously is not good for you as the incumbent. Also on BA, it looks like you had some nice acceleration in average monthly revenue per aircraft online for both satellite and ATG last quarter. We were expecting that might slow because of the newer systems, the ATG 1000 and 2000. I just wondered what was behind that? Thank you.
Michael Small: So Lisa to your first question, long on cost structure and who can produce the cheapest that's overtime wins and we think we win that battle and we're going to have the best pricing in the marketplace and there can be short-term pricing strategy by competitors that are a nuisance, but they won't prevail over the long-term. On business aviation, we continue to see good progress in average revenue per aircraft some of the grandfathered unlimited plans are coming to an end here and so more people have been switched to usage based plane which is helping ARPA. Also on the satellite side, we're selling lots of broadband which is much higher than the Iridium product that had previously been a satellite. So those are the two basic things that are driving ARPA growth there.
Lisa Friedman: So you would expect some of those trends to continue then, because there'll be more grandfathered customers moved over, and a greater share of the satellite sales will be swift broadband?
Michael Small: Correct, there is still good trends there, yes.
Lisa Friedman: Thanks very much.
Operator: Thank you. Our next question comes from Sergey Dluzhevskiy of Gabelli & Co. Your line is now open.
Sergey Dluzhevskiy: Good morning guys, thank you. A couple questions. First one on competitive landscape in the rest of the world. Here, obviously on North America you have certain competitors that are getting more aggressive. What are you seeing - and obviously because they play in the rest of the world as well, But what are your expectations of how it shapes up over the next several years? And how your technology compares to some of the competitive solutions? And second question. If you assume you do lose those 200 planes, or at some point you lose a portion of your existing kind of fleet to a competitor, can you talk a little bit about install time for you versus competition, and realistically how quickly those planes could migrate to a different solution?
Michael Small: Okay so the two questions and we've been talking about 2Ku and its ability to produce cheaper and faster bits over time with minimum number of touches to the aircraft very important, I would also point out that we have by far the best global coverage today, because we can take advantage of so many Ku satellites and we get to do with the satellite I mean with an antenna that does not have the skew angle problem, so we don't have deficiencies in coverage in equatorial regions. And furthermore, because we're on the Ku bands we have tremendous redundancy of supply there, availability and redundancy of supply. So it is the best global solution in the marketplace not only based on the ability to improve fits, but they found coverage and redundancy. So I think it's going to fare very well in the marketplace, I expect wins around the world across all three major airline alliances and I expect that they are coming in 2016. Back to your question about the U.S. and basically how it'll take to install planes, if you're dealing with satellite in particular and you have got the STC process, I conclude there is nothing whether we win it or lose it and with American that affects 2016 results, it simply takes longer than that. If you are talking about the 200 planes to get them all done and even 2017 and 2018 is a lot of work, we think our installation capabilities are unparalleled in this industry and we actually think we might get most of them done in 2017, but I would be surprised if anybody else can do in less than two years.
Sergey Dluzhevskiy: Thanks.
Operator: Thank you. Our next question comes from Phil Cusick of JPMorgan. Your line is now open.
Philip Cusick: Hey guys. Thanks for bringing me back on. I wanted to follow-up, one, on something you just said on the global opportunity. I think you said you expect major decisions from all three airline alliances in 2016. Can you expand on that for us?
Michael Small: Sure I think it is now the time for airlines around the world to make decisions and I see that based on the nature of our discussions, they are much more specific than they used to be and getting down brass tacks about this type of fleet, this date, instead of just generally do we like this technology or that technology. So that tells me that's the real world feedback that decisions are coming and I think it's by all airlines around the world across all three alliances and I think we're going to have a strong position when I say alliance, sky team, One World, Star Alliance. We will do business in all three alliances.
Philip Cusick: That leads me to the second part. If you look at 2015 and you gave yourself a report card on RFPs you worked on that were awarded versus your wins, what does that look like? And then what is that activity level look like, walking into '16?
Michael Small: So it did go slower than we predicted in 2015. There was no doubt about that. I think we did really well in 2015 and we built the backlog of 800 2Ku installed essentially our awards essentially all in 2015 that is industry leading type numbers. So we're still winning if you just look at the scorecard on getting the most awards, and I just think a lot of airlines were very uncertain and as said in the scripts, it's they want to make the right decision, but making the wrong decision is really a difficult thing, because it is so invasive to install stuff on planes. You do not want to have to redo that and there's been a huge debate going on in the industry and as 2Ku keeps flying you've all flown on it on demo flight and we've test flights and then this spring the first commercial planes are going to start going up and that's going to help and as we work through the backlog that will help. And I also think as it becomes clear that what airlines should really be focusing about is what goes on their plane, not what goes up in the sky and I think we have seen of the competitors talk about the sky and we take about the plane and I think we're going to propel on that argument.
Philip Cusick: Last one. If you think about the 2Ku installs this year, 75 planes. How should we think about the capacity for ATG planes in the US? It doesn't sound like we're going to see any kind of relief in the capacity constraints this year for your ATG fleet?
Michael Small: Well I would agree that 75 is not big relief this year on the capacity constraints, and that will accelerate next year, I would point out that we are doing even more ATG for upgrade this year and that is real practical release. I would also add that the Air Canada domestically is now fully installed and that is flying on what congested portion of our network up in Canada. So there are some positives, but I would still say it’s fair characterization that it is the crunch year for our North American network and the real release start in 2017.
Philip Cusick: Thanks Michael.
Operator: Thank you. And our next question comes from Dick Ryan of Dougherty & Company. Your line is open.
Richard Ryan: Great. Thank you for the follow-up. For you Norm, in the business jet market, it looks OpEx had a 15% bump, quarter over quarter. I guess I’m wondering, are there one timers in there or short-term investments or is that sort of a new level for R&D and SG&A?
Norman Smagley: There was one time things in there. I would not view it as a permanent bump.
Richard Ryan: Great. Thank you.
Operator: Thank you. Our next question comes from Jonathan Schildkraut of Evercore ISI. Your line is now open.
Robert Manning: Hello guys. Can you hear me?
Michael Small: We can.
Robert Manning: Great. Thanks, Michael. I have three questions, I guess. The first is, in reading American Airlines' complaint, it sounds like they're considering not only technology, but also sort of pricing and business model. Is it fair to say, as you guys put together your proposal, all sorts of options are on the table?
Michael Small: Absolutely. We had the right business model to get this industry started. Gogo had to control it all, I don’t think it would have come together and we had to absolutely minimize the risk for the airlines with the turnkey approach or I don’t think it would have happened. But at this stage, we are opened all business models. As long as the NPV looks good to us, we’re game.
Robert Manning: In terms of that, and obviously you can’t say too much here, but in terms of thinking of that. You bear a lot of cost in the retail model, the branding and the customer service and things like that. As we think about balancing other business models into the mix, do you anticipate that there could be a meaningful change in sort of the underlying economics of the business? Your expected returns and things like that?
Michael Small: No, I do think something is change, the biggest thing that goes away is rev-share, which is one of the biggest line items in our expenses. But it’s - no I don’t think it get to the underlying economic. I mean there is really three components of costs in this business and we do fix the bandwidth costs and there is no doubt that critical and the long run they are probably your biggest variable costs. But also the costs and this is literally half the people at Gogo focus on this area is aircraft engineering. Designing the stuff that goes on planes. Not the high-tech stuff, just installing it, how it’s installed on planes. Getting it certified, and getting it installed and getting it maintained. That is a big area of cost that doesn’t go away. We’re focused heavily on driving efficiency there. But that’s independent of business model. And then finally, we spend a fair amount of money developing hardware and software platforms that make our service easy and flexible for the airlines to use and give couple of examples. So when we first launched the portal, it was Gogo portal, and we put the airline logo in the corner, and they did not like that. And now it is all about building a customized portal for the airlines that runs on Gogo platforms. So I don’t think the underlying cost of this business changed. I think the business models on how we want to package it to the airlines may change. And it is all about the trend of giving airlines more control and flexibility overtime. That’s true of virtually any new innovation. You come up with an application that works. And everybody loves it, and then you realize I need to open this up, I need to let it be the customer’s way, not our way. And we are moving down that path. Are you still there? Aright I guess we can take the next question operator.
Operator: Thank you. Our next question comes from Carter Mansbach of Jupiter Wealth. Your line is now open.
Carter Mansbach: Good morning, gentlemen. Congratulations on a great quarter and a great year. I have a couple questions for you. I want to see if we could nail down this 250 new planes that you have committed. I have two questions on it. Number one, do we not know the name of it because the airlines are controlling the press release, and they are the ones who have to put it out? Number one. And number two, are these firm orders the additional 250 tails for Ku, or are they options?
Michael Small: Yes I'll make couple of comments on that first we never release an airlines award without agreement by the airlines that's often contractual but it would be our policy to always do this and we would not be referring to them as awards unless we thought they were very solid and we have exceptionally high degree of confidence that we see these aircrafts.
Carter Mansbach: Fair enough. Second question. Michael, over the last couple of quarters, you have spoken a lot about outfitting the entire plane. Not just Wi-Fi, but everything else. And you believe that could be as big as Wi-Fi on the plane. Do you see any of that starting to begin on the rest of the plane, outside of Wi-Fi?
Michael Small: Sure. We call that connected aviation and it is and we have often said that non-passenger connectivity is ultimately larger than passenger connectivity even in the current moment that passenger connectivity is across engine then the short-term. And we still see that in fact I will tease it right now very shortly Gogo will be releasing sound book on the subject that connected aviation that I think you will all find very provocative on the topics. That will be a big piece of this going forward absolutely. And the reason airlines care about it, it will be their biggest opportunity to drive cost out of their business and it will be their biggest opportunity to prove on the customer experience on their planes. And so I'm very excited about it I think that is a long-term opportunity for us, we are working on it hard today with our people coding, there are people designing hardware to a accommodate that today and the revenue stream is actually already started in the very small amount and it will pick up steam over the next few years.
Carter Mansbach: All right great. Again, congratulations on a great 2015. Look forward to seeing what you guys do next year.
Michael Small: Thank you Carter.
Operator: Thank you. And we will be taking our last question from [Steph Pierpoint of Sycamore] (Ph). Your line is now open.
Unidentified Analyst: Thank you. Michael, could you comment on consumer demand. Fundamentally, consumer demands, any change that you've seen in 2015? Take rates and that sort of thing, please?
Michael Small: Sure. Consumer demand is really constrained by bandwidth on our networks right now, but every indication we have as you bring more bandwidth to the aircraft you are going to see sky rocketing passenger demand and that's almost to given in today's world that happens everywhere. So this is a supply constraint business right now. I still firmly believe that the airplane would have to be the exception if you don’t get to a 100% usage on the plane, it maybe in all different ways and varieties and some maybe for free and some maybe paid, but ultimately the whole plane will use it. It is merely the challenge you get into supply there and I will add that while you are never down this path it never ends, you keep going more bandwidth. When I joined the company I concluded that ATG was good enough to get this industry going, I'm now 100% confidence 2Ku gets us to the bountiful and affordable world of that's you just - we want to make it better trust me, but it gets us into the bountiful world.
Steph Pierpoint: Thank you.
Michael Small: Alright, well thank you everybody. I appreciate your questions today and look forward to talking to you over the course of 2016. Have a great day.
Operator: Ladies and gentlemen thank you for participating on today's conference. This concludes your program. You may now disconnect. Everyone have a great day.